Operator: Thank you for standing by, ladies and gentlemen, and welcome to the EuroDry conference call on the third-quarter 2020 financial results. We have with us today Mr. Pittas, Chairman and Chief Executive Officer; and Mr. Aslidis, Chief Financial Officer of the company. [Operator Instructions]. I must advise you that this conference is being recorded today. Please be reminded that the company announces its results with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I would like to remind everyone that in today's presentation and conference call, EuroDry will be making forward-looking statements. These statements are within the meaning of the federal securities laws. Matters discussed may be forward-looking statements which are based on current management expectations that involve risk and uncertainties that may result in such expectations not being realized. I kindly draw your attention to slide 2 of the webcast presentation which has the full forward-looking statement, and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. And I would now like to pass the floor over to Mr. Pittas. Thank you, sir. Please go ahead.
Aristides Pittas: Good morning, ladies and gentlemen, and thank you all for joining us today for our scheduled conference call. Together with me, Tasos Aslidis, Chief Financial Officer. The purpose of today's call is to discuss our financial results for the third-quarter and nine-month period ended September 30, 2020. Please turn to slide 3. Our income statement highlights a solid year. For the third quarter of 2020, we reported total net revenues of $6.8 million and net income of $0.5 million, adjusted EBITDA of $2.8 million, and adjusted net income attributable to common shareholders of $0.1 million, or $0.05 per share. During the third quarter of 2020, EuroDry benefited from gradually improving charter market as a result of the reopening of most economies after the pandemic-related lockdowns. Since the beginning of October and during early November, the market rates have given up some of the gains, but they remain at satisfactory levels, given the increased economic uncertainty due to the second wave of the pandemic and renewed economic lockdowns, especially in Europe. Our CFO, Tasos Aslidis, will go over our financial highlights in more detail later on in the presentation. Please turn to slide 4 for our chartering and operational highlights. MV Eirini was fixed for period time charter at 99% of the Baltic Panamax Index for the 74,000 deadweight ton vessel average 4 time charter route, with a minimum duration until April 1, 2021, and a maximum duration of August 15, 202. The Starlight was fixed in direct continuation of the previous charter at 98.5% of the BPI 74 average 4TC index, with minimum duration until August 15, 2021, and maximum duration of January 15, 2022. The overall revenues of these two vessels received in Q3 -- and will receive in Q4 after taking into account the FFAs -- are actually fixed through the previously sold FFA contracts at an average rate of $11,000 per day. Additionally, we have sold FFAs for 30 days in Q1 2021 at a rate of $9,500 per day, providing a month's worth of cover overall for one vessel. There were no dry dockings or repairs for the third quarter. Please turn to slide 5 for a summary of EuroDry's current fleet. As you can see, it is comprised of seven drybulk vessels with a fleet average age of 11.8 years and a cargo carrying capacity of about 530,000 deadweight tons. Slide 6 shows the vessel employment schedule. As you can see, effective cargo reserves of October 26, 2020, for the remainder of 2020 stood at about 42% in terms of minimum fixed rate contracts, including the vessels that are covered by FFAs. This figure excludes ships or min fixed charters which are open to market fluctuations even though they might be secure -- having secure employment. Turn to slide 7, where we will go over the market highlights for the third quarter of 2020. The third quarter marked an improved performance with the drybulk market recovering strongly from the very challenging second quarter after the ending of the lockdowns. However, following the second wave of the pandemic and the renewed lockdowns, we expect the drybulk markets will be affected in the near term by the state of the world economies as influenced by the COVID-19 pandemic. In the medium-term, we are encouraged by the expected improvement in the market once the pandemic is brought under control, if not otherwise, certainly by the introduction of the vaccines. Bulk rates for Panamaxes average $12,300 a day in Q3 but currently have retreated to around $9,250 per day. One year time charter rates averaged at close to $12,000 per day, yes, but now hover around $10,300 per day. Please turn to slide 9. As a result of the pandemic, the economic and trade world environment dramatically declined at the beginning of 2020. Initial estimates of its effect were extremely painful. But the last two quarters, the IMF has been gradually increasing its GDP estimates. The IMF projected world GDP growth in 2020 has been revised upwards from minus 4.9% in the previous quarter, July, to minus 4.4% now. Among the developed and developing economies, China is the only big economy expected to post positive growth within 2020. In fact, China's return to growth seems stronger than expected previously, with signs of a more rapid recovery in the third quarter suggesting a 1.9% GDP growth compared to 1% GDP growth in the previous quarter. The US economic growth is projected at minus 4.3%, while the eurozone is expected to need a steeper road to recovery with the GDP growth expected for 2020 at minus 8.3%. All remaining important economies are now expected to contract, as is clearly evident in this slide, albeit at lower rates than those expected a quarter ago, except for India where staggering contraction of 10.3% is expected. In 2021, global growth according to the IMF is projected to return to growth, recovering from the decline in 2020 of minus 5.4% to a positive 5.2% growth rate. In this context, the US is expected to grow by 3.1% while the eurozone's area growth is expected to be around 5.2%, and China is a very strong 8.2%. Similarly, all other developed economies are projected to show a strong recovery. Looking at the drybulk trade growth according to Clarksons, projected growth in 2020 is now estimated at a negative 3.3% while the 2021 focus suggests that the drybulk trade is set to grow at a solid 5% rate. Please turn to slide 10. The order book as a percentage of total fleet up until November 2020 stands at 6.3%, which is the lowest level seen in the last 20-plus years. The principal reason for the poor performance of drybulk shipping during the last decade has been the high number of deliveries which easily outpaced the growth of the trade for the greater bulk of the last decade. With a relatively small current order book and normal demand expectation for the coming years, a fundamentally supported rebound in the drybulk market should be expected in the near future. Also bearing in mind that it takes about 1 1/2 to 2 years for a vessel to be delivered once it is contracted. Please turn to slide 11 to review the drybulk delivery schedule. For 2020 deliveries, the order book is still dominated by large vessels. According to Clarksons, fleet growth in 2020 will be around 4.3%, taking into account scrapping and other fleet changes that have taken place to date. From 2021, the order book is estimated at only 3.8%. If one accounts for scrapping and slippage, actual fleet growth will be very low. The order book for 2022 and beyond is currently only 1.1%, which would imply that with scrapping and slippage, we could see a shrinking fleet that year, provided that not too many new orders are placed for 2022 delivery. Please turn to slide 12 where we summarize our outlook on the drybulk market. The unknown duration of the pandemic and its financial consequences render any type of modeling very difficult. Our base case scenario calls for the recent surge in COVID-19 cases in the Northern Hemisphere to negatively affect the markets through the first half of 2021. But aided by the progress recently achieved in vaccines, we expect the second half of the year to be very strong. Current year-to-date trade decline estimates and full-year 2020 projections will likely be revised upwards to those discussed before, as the charter rates have been higher since May/June 2020 than what the estimated supply and demand balance implies. COVID-19 related delays in ports have also likely taken more ships out of the market for more days than estimated, thus reducing the effective vessel supply. In parallel, the ordering of new ships is expected to be contained in the midst of the above demand uncertainty, but most importantly on the lack of clarity of the fuel of the future, as not knowing the optimal ship for even five years out makes the placing of any new order speculative and risky. As already discussed, we are looking forward to a promising 2021 amidst the low order book and a V-shaped demand rebound. We are hopeful for further easing of the trade tensions between China and the US, and likely to additional economic stimuluses worldwide. Thus, the supply/demand balance over 2021 and 2022 will likely provide a foundation for charter rates, though remaining volatile, to an average at least maintain the recent levels or probably improve further. Please turn to slide 13. The left side of the slide shows the evolution of one-year time charter rates for Panamax drybulk vessels since 2000. As of October 30, 2020, the one-year time charter rate for Panamax with carrying capacity of 75,000 deadweight stood at around $10,375 per day. As you can see on the right hand side of the slide, the current price of a 10-year-old Panamax vessel is around $13.8 million. In the last two, three years, drybulk prices have been gradually increasing towards historical average prices, above the all-time-low values that were established at the beginning of 2016 but have still not reached those levels. With a freight rate environment close to the median rate, we would expect asset values to increase closer to their median as well. In view of this, we tried to position ourselves to benefit from the developments, and we continuously evaluate opportunities for investments in vessels or pursue combination with other fleets, especially focusing on using our status as a public company which can perhaps provide a consolidation platform. To help achieve these goals, we are also focused on efforts to improve our capital structure by reducing our capital cost and create additional liquidity. Let me now pass the floor over to our CFO, Tasos Aslidis, to go over our financial highlights in more detail. Tasos?
Anastasios Aslidis: Thank you very much, Aristides. Good morning from me, as well, ladies and gentlemen. I will now take you through our financial results highlights for the three- and nine-month periods of 2020. For that, let's turn to slide 15. The third quarter of 2020, we reported total net revenues of $6.8 million, amounting to an 11.3% decrease as compared to total net revenues of $7.7 million that we achieved during the third quarter of last year. Our net revenues decreased by almost $0.9 million due to lower charter --- time charter equivalent rates on our vessel earned compared to the same period of last year. The company reported net income for the period of $0.5 million, and net income attributable to common shareholders of $0.1 million as compared to a net loss of $0.4 million, and net loss attributable to common shareholders of $0.8 million from the third quarter of 2019. Interest and other financing costs for the third quarter of this year amounted to $0.6 million compared to $0.8 million for the same period last year. Our interest expenses during the third quarter of 2020 were lower due to the lower average outstanding debt and also the decreased LIBOR rates that our loans experienced as compared, always, to the same period of 2019. Depreciation expense for the third quarter of 2020 amounted to about $1.7 million compared to $1.6 million for the same period for 2019. Again, for the quarter ended September 30, 2020, the company recognized a small loss on interest rate swaps and a $0.2 million realized loss on FFA contracts as compared to a loss on derivatives of $0.6 million for the same period of 2019, comprising of $0.5 million on loss of FFA contracts and $0.1 million on loss on one interest rate swap that we had last year. Adjusted EBITDA for the third quarter of 2020 was $2.8 million, and that compares to $2.2 million we achieved during the third quarter of 2019. Basic and diluted earnings per share attributable to common shareholders for the third quarter of 2020 was $0.06, calculated on approximately 2.3 million basic and diluted weighted average number of shares outstanding compared with basic and diluted loss per share of $0.35 for the third quarter of 2019. Excluding the effect on the income attributable to common shareholders for the quarter of the unrealized loss or gain on derivatives, the adjusted earnings per share attributable to common shareholders for this past quarter of 2020 would have been $0.05 compared to a loss of $0.26 per share, basic and diluted, for the same period of last year. Usually security analysts do not include the above items in their published estimates of earnings per share. Let's now move on the second half of the slide to describe the nine-month results for the year. For the first nine months of 2020, we reported total net revenues of $15.9 million, representing a 19.1% decline over total net revenues of $19.6 million that we had during the first nine months of 2019 -- again, the result of lower time charter rates our vessels earned during the corresponding periods. The company reported net loss for the first nine months of this year of $5.6 million. The net loss attributable to common shareholders was $6.7 million as compared to a net loss of $1.4 million and a net loss of attributable to common shareholders of $2.9 million for the first nine months of 2019. Interest and other financing costs for the first nine months of 2020 amounted to $1.9 million compared to $2.7 million for the same period last year. Again, this decrease is due to the lower average levels of debt outstanding and lower LIBOR rate that we experienced during previous nine-month period. Depreciation expenses for the first nine months of 2020 were $4.9 million compared to $4.8 million during the same period of last year. And for the first nine months of 2020, recognized a $0.5 million loss on three interest rate swaps and a $0.3 million loss on FFA contracts as compared to a gain on derivatives of $0.3 million for the same period of last year which comprised of $0.6 million gain on FFAs and a $0.3 million loss on interest rate swaps. Adjusted EBITDA for the first nine months of 2020 was $1.8 million compared to $6.5 million achieved during the first nine months of 2019. Basic and diluted loss per share attributable to common shareholders for the nine-month period of this year was $2.97, calculated on 2.3 million shares basic and diluted compared to $1.31 basic and diluted loss per share for the first nine months of last year. Again, excluding the effect on the loss attributable to common shareholders for the first nine months of the year of the unrealized loss on derivatives, the adjusted loss per share attributable to common shareholders for the first nine months of this year would have been $2.70 compared to a loss of $1.13 per share, basic and diluted, for the same period of 2019. Let me now turn to slide 16 to review our fleet performance. We will start our review by looking first at fleet utilization rates. As usual, our fleet utilization rate can be broken down into commercial and operational. During the third quarter of this year, our commercial utilization rate was 100% while our operational utilization rate was 98.9% compared to 100% commercial and 99.5% operational for the third quarter of last year. I would like to remind you here that our utilization rate calculations do not include vessels with scheduled dry docks or scheduled repair if such events occurred during the period. On average, seven vessels were owned and operated during the third quarter of this year, earning time charter equivalents rate of $11,873 per vessel, per day compared to $12,088 per vessel, per day during the third quarter of 2019 during which we also operated the same seven vessels. Our total daily vessel operating expenses -- including management fees, general and administrative expenses, but excluding drydock costs -- averaged $6,397 per vessel, per day during the third quarter of this year compared to $5,722 per vessel, per day during the third quarter of 2019. If we move further down this table, we can see the cash flow breakeven rate that we had during this past quarter which takes into account drydocking expenses and cash interest expense, loan repayments, and preferred dividends if paid in cash. For the third quarter of this year, our daily cash flow breakeven rate was about $9,846 per vessel, per day compared to $10,845 per vessel, per day that we paid during the third quarter of 2019. Let's now look on the right part of the slide to review our nine-month figures. During the nine month period of 2020, our commercial utilization rate was again 100%, and our operational utilization rate was 99.6% compared to 100% commercial and 99.2% operational for the corresponding period of the previous year. For this nine-month period of 2020, we owned and operated seven vessels. And we earned a time charter equivalent rate of $8,927 per vessel, per day compared to $10,750 per vessel, per day that we earned during the nine-month -- the first nine months of 2019, the period during which we operated, again, seven vessels. Our total daily operating expenses for the nine-month period -- including management fees, G&A, but excluding drydocking costs -- amounted to $6,195 per vessel, per day compared to $5,839 per vessel, per day during the corresponding nine months of 2019. Again, at the bottom of the table, we can see our breakeven rate for the period. Our cash flow breakeven rate was $10,863 per vessel, per day in 2020 compared to $12,308 per vessel, per day for the same period the first nine months of last year. Let's now move to slide 17 to review our debt profile. In this slide on the top part, you can see our loan repayments as well as our balloon repayments. And on the bottom of the slide, you can see the projection of our cash flow breakeven level for the following 12 months. As of September 30, 2020, we had an outstanding bank debt of about $52 million. In 2021, as you can see from the chart, we have to make a balloon payment of about $8 million which is collateralized by three of our Panamaxes. And we have also a balloon payment of $2.1 million to make in 2022 which is collateralized by our remaining Panamax vessel. These balloon payments are below the scrap price of the respective vessels, and we anticipate that we will have no issues financing them when due. With that, as you can see from the chart, additional balloon payments coming in the later years in 2023 and 2025. I would like to make a quick note on the cost of our funding. The average margin of our debt -- as you can show on the comment on the right part of the slide -- is about 3%. And assuming the LIBOR rate of 0.5% on the top of it, our cost of senior debt would be around 3.5%. If we include the cost of the dividend that we pay to our preferred equity, which we pay in kind with the option to pay in kind until January 2021, the other blended cost of our non-equity funding would have been around 5% as of the end of the last quarter. Our loan repayments over the next 12 months expected on a per vessel, per day basis amount to about $2,381, and make that contribution to our daily cash flow breakeven let alone you can see that on the chart of the bottom part of the slide. If we make assumptions for the remaining items that make up our cash flow breakeven rate -- like our operating expenses, our G&A expenses, drybulking, interest, et cetera -- we come up with an overall cash flow breakeven level per, vessel per day that we expect over the next 12 months of approximately $9,850. Let's move now to slide 18 where we can see some highlights from our balance sheet. This is really, you can say, a high-level snapshot of our assets and liabilities. On the asset side first we can see that we have of the cash and other current assets about $7.1 million; and of course the book value of our vessels, which amounts to about $101 million, making our total book assets to about $108 million. On the liability side, we said as of last quarter, bank debt of about $52 million which approximately represents 48% of the book value of our assets. Also we have preferred equity outstanding of about $16 million which accounts for another 15% of our booked assets, and other assets and other liabilities of about $4.3 million accounting roughly for about 4% of our assets. This leaves us with a net book value of about $35.5 million which amounts to about $15.4 per share. If we replace the book value of our vessels with their market value, which we estimate to be about 10% below the rated book value, we can calculate our net asset value to be over $10 per share. Clearly, if our shares stay below that level, we represent an investment with significant appreciation opportunity. And with that, I will pass the floor back to our Chairman and CEO, Aristides, to continue the call.
Aristides Pittas: Thank you, Tasos. I can now open the floor for any questions that we may have.
Operator: [Operator Instructions]. Your first question comes from the line of Tate Sullivan from Maxim Group.
Tate Sullivan: Thank you for the background. And one thing that jumped out was the extensions on -- I think it was five of your seven vessels to the contract timing. Can you give some feedback you get from customers? I mean, what keeps them from committing to longer terms when you have those contract extensions? I mean, if there is limited fleet growth next year and end of lockdowns, maybe should they start to have urgency, or can you give some comments on the feedback?
Aristides Pittas: Yes, firstly, the older vessels in our fleet, the 2000 build ships, are ships that are not really favored by operators that want to have a period business. So these, we are trading on the spot market, and we expect to continue to trade them in the spot market. The remaining vessels, theoretically we could fix for longer periods. The medium age ships, the 2004 to 2005 build Panamaxes, could be fixed for up to a year. We see these kind of charters happening. For the younger ships, the under five years old, there exists a market for one, two years. It never goes for longer, really, on these type of ships. And we could consider ourselves fixing them for a year at this specific rate when we feel that the rate is good. Because right now, we have seen the correction in the charter rates, and because we think that 2021 -- at least from the third quarter, maybe even from the second quarter -- we will see improved charter rates, we prefer to keep shorter-term durations at today's levels.
Tate Sullivan: Great. Thank you. And that tails with my next question. For 2021, you mentioned rates, I think you said around $10,400 today versus a breakeven of $9,850 a day. I thought you commented, next year, you see average rates settling -- did you say closer to where your rates were in 3Q 2020 or can you review that comment, please?
Aristides Pittas: Yes, I mean it's a volatile period, as you've seen rates have moved this year from $6,000 up to $13,000, maybe even $14,000 on the spot market. So it's been very volatile. We think that the first part of 2021, because of the pandemic, will -- and the lockdowns that follow -- will not be a strong half. Certainly, the first quarter; now, the second quarter will depend a little bit on how the pandemic develops, and of course on if there are -- what happens with trade wars and all that stuff. But we do expect that starting either in the second or third quarter, we will see a higher rate. The average for the year, we expect it to be higher than what it is, what was the average of this year. It could be closer to the Q3 rate. It could be around the Q4 rate. It's really difficult to say, honestly, and make a better estimate.
Tate Sullivan: Okay. Thank you for those comments.
Operator: Your next question comes from the line of Poe Fratt from Noble Capital Markets.
Poe Fratt: Hello. I just wanted to clarify --- Aristides, if you could just clarify your strategy on -- you are facing a little bit of weakness, near term. You look at softness in the first half and probably certainly in the first quarter of 2021 just because of seasonality, but you are using FFAs. But could you have covered more of the fleet with FFAs, looking into first quarter? Because right now, you only have 90 days of the fleet covered, and I was just wondering sort of what your strategy is. Do you think you'll layer on more FFAs as the year ends, or is that sort of you are going to just play the market from there?
Aristides Pittas: Very honestly, Poe, our intention was to get more cover if we saw FFAs at $10,000 a day. So we would have taken more cover if we saw that. We didn't feel very comfortable in taking more cover at levels below our actual all-cost breakeven cost. So we were hoping that we would see them go up to $10,000 again, in which case we would take some additional cover. We haven't seen that; Q1 is trading right now at under $8,000 a day. We wouldn't do something at this level. But if there is a new peak that we see within November or early December, which is possible, and we see levels returning to those levels, we will indeed get some more FFA coverage.
Poe Fratt: Yes. You will be opportunistic just based on what you see. Could you clarify the -- if you said it, I missed it -- but on the 42% of days that are covered in the fourth quarter, does that include the FFAs that are in place, or does that exclude them? And then if you could also offer potentially a rate that is associated with those with that contract cover of 42%?
Aristides Pittas: I mean, it is included. This 42% includes the two vessels that will make $11,000 because they are covered through the FFAs. And it includes the Xenia Kamsarmax which is covered at $11,000 because it's a guaranteed floor. So it includes those three vessels really, and some part of the Tasos and the Pantelis whose charters expire now and we have not extended yet. So that is an average of $10,000 for those two, as well. So I would say that our average is slightly below $11,000 for the 42% that is covered, and the remaining is really open.
Poe Fratt: Okay. And you do have that floor on the Xenia at $11,000, too, so is that included in there, or is it…?
Aristides Pittas: Yes, that is included. Yes, that is included there.
Poe Fratt: Okay, great. And then when you look at the contract on the Xenia that does -- it appears to expire at the end of the year. Can you sort of give us a flavor whether you will be able to, you think, keep that floor in place, or whether there will be a different structure in that contract?
Aristides Pittas: No, this vessel will -- and its charter -- and we are due to pass the special survey of that ship. We could pass it in January, but we have decided that we will pass it immediately after completion of this current charter. And we will see how we will employ the ship afterwards. It doesn't have an employment.
Poe Fratt: Okay. So that would be one special survey that you are looking at. Any other surveys…?
Aristides Pittas: No, this is the only vessel that we will we need to pass through a survey in the coming quarter. And I think -- Tasos, if you have the figure, correct me -- but I think that we have nothing in Q1.
Anastasios Aslidis: I believe sure that we don't have anything else in Q1.
Poe Fratt: Great. And, Tasos, if we could just double check, it looks like the cost structure is pretty stable, looking forward. It has bounced around quarter to quarter a little bit. It looked like it was a little bit, at least from a G&A standpoint, down in third quarter. Are there any major changes? It doesn't sound like it, but I just wanted to double check: any major changes on the OpEx side looking at 2021?
Anastasios Aslidis: No, I don't expect we have any major structural changes on the OpEx side there. We should see OpEx at similar levels to this year, perhaps 1%, 1.5% higher, but no major changes.
Poe Fratt: And I think you alluded to it on the balloon payment that is due in 2021, you are thinking about that. Are you actually in discussions with your banks on that loan payment and potentially extending that out?
Anastasios Aslidis: That payment, we make in the next year, so we have not -- for that specific payment -- not in any discussions yet. But $8 million is less than half or about half of the scrap price of those vessels, which are not even near scrap price anyway. So I don't expect any problems to finance that at the current levels. At the balloon levels, we might even be able to get them in more if we want to.
Poe Fratt: Great, thank you so much.
Operator: Thank you. I would now like to have the conference back to the CEO, Mr. Aristides Pittas. Please continue, sir.
Aristides Pittas: I think this concludes our session of today. Thank you all for listening in, and we will talk together again in February when we come out with our results for 2020. Thank you.
Anastasios Aslidis: Thanks, everybody, for attending.
Operator: That does conclude our conference for today. Thank you for participating. You may now all disconnect.